Operator: Thank you for standing by, and welcome to the Ingersoll Rand First Quarter 2024 Earnings Conference Call. [Operator Instructions] I'd now like to turn the call over to your host, Matthew Fort, Vice President of Investor Relations. You may begin. 
Matthew Fort: Thank you, and welcome to the Ingersoll Rand 2024 First Quarter Earnings Call. I'm Matthew Fort, Vice President of Investor Relations. And joining me this morning are Vicente Reynal, Chairman and CEO; and Vik Kini, Chief Financial Officer. 
 We issued our earnings release and presentation yesterday, and we will reference these during the call. Both are available on the Investor Relations section of our website. In addition, a replay of this conference call will be available later today. 
 Before we start, I want to remind everyone that certain statements on this call are forward-looking in nature and are subject to the risks and uncertainties discussed in our previous SEC filings, which you should read in conjunction with the information provided on this call. Please review the forward-looking statements on Slide 2 for more details. 
 In addition, in today's remarks, we will refer to certain non-GAAP financial measures. You can find a reconciliation of these measures to the most comparable measures calculated and presented in accordance with GAAP in our slide presentation and in our earnings release, both of which are available on the Investor Relations section of our website. 
 On today's call, we will review our company and segment financial highlights and provide an update to our 2024 guidance. For today's Q&A session, we ask that each caller keep to one question and one follow-up to allow time for other participants. At this time, I will turn the call over to Vicente. 
Vicente Reynal: Thanks, Matthew, and good morning to all. I would like to begin by thanking and acknowledging our employees for their hard work, dedication and continuing to think and act like owners helping us to deliver another record quarter in Q1. 
 Starting on Slide 3. Despite the constantly changing macroeconomic environment, our team delivered another solid start to the year, demonstrating the continued strength of our execution engine IRX. We remain nimble, and we're prepared to pivot if market conditions were to change. And based on our solid Q1 performance, we are raising our 2024 full year guidance. 
 Turning to Slide 4. Our economic growth engine continues to deliver compounding results. We remain committed to our strategy and our long-term Investor Day targets outlined on this page. IRX is our competitive differentiator. And combined with our unique ownership mindset, we expect to continue to deliver above-market growth in 2024. With that in mind, I would like to provide a brief update on our growth initiatives. 
 On Slide 5, let me start with our inorganic growth initiatives. We're pleased to highlight two recently closed transactions. Let me walk you through these two deals that are adjacent to our core. In other words, both companies' products can be used by attaching them to our existing compressor or pump technologies. 
 First, Ethafilter, which expands our technology by extending our reach into highly attractive end markets with the addition of sterile filtration technology. Next is Controlled Fluidics, which expands our technology with specialization in thermoplastics, high-performance plastic bonding and custom plastic assembly products for life sciences, aerospace and industrial applications. 
 And finally, on the right-hand side of the page, I would like to highlight that with the announced acquisition of ILC Dover, which is expected to close later this quarter, we have already exceeded our annualized inorganic revenue target of 400 to 500 basis points. Having said that, we continue to execute our bolt-on M&A strategy and expect more deals to be announced later in the year, further exceeding our annualized inorganic revenue target.
 Turning to Slide 6. I want to provide some additional information on the acquisition of ILC Dover with an overview of the portfolio. This slide details the breakdown of the business by end market as well as the long-term CAGR for each portion of the business, core competencies and future growth creation opportunities. 
 Approximately 75% of the total business falls into life sciences end market which can be split roughly 60-40 between key markets of biopharma and medical components/CDMO. We expect this portion of the business to grow in the high single-digit plus range over the long term. 
 Let me dive a bit deeper, starting with biopharma, in which the core competencies are in powder and liquid handling, where we see future growth opportunities for pull-through on pumps and compressors as well as the new customer and direct channel access to these customers. 
 Some of the most exciting growth drivers in the biopharma market where ILC Dover has great presence is in supplying single-use and containment technologies in support of the manufacturing of fast-growing monoclonal antibodies and antibody derivatives in therapeutics to treat cancer and rare diseases. ILC Dover also plays a crucial role in the growing markets for novel diabetes and obesity therapies and the increase in demand for flexible next-generation cell culture facilities to serve the cell and gene therapy market. 
 The primary benefits for the single-use equipment produced by ILC Dover are a lower cross-contamination risk, reduced cleaning and sterilization efforts, a highly flexible manufacturing process, much shorter batch turnaround times and reduce planned footprint and capital investment, respectively, all of which play an important role in the customer ROI which is core to how we at Ingersoll Rand support our customers with our current products and solutions. 
 Moving on to the medical components/CDMO portion of the business, where the core competency is extrusion and molding of complex custom silicon and thermoplastic components as well as sub-assemblies. This business gives us access to a wide range of new customers on the medical technology side, focusing high-growth segments like cardiovascular and neurology. In addition, we see a lot of future growth opportunities to leverage this niche technology for the creation of high consumable items like tubing for the biopharma business, as well as pull-through on pumps and compression systems in the subassemblies they produce today. 
 Moving on to the aerospace and defense end market, which accounts for approximately 25% of the total business, although small in nature, we're very excited to have this business within our portfolio for multiple reasons. First, this is a very solid business in terms of growth and profitability. And second, it has given us a great point of entry into the global space market, which is estimated to be worth $1.8 trillion by 2035, nearly tripling from $630 billion in 2023. 
 As described on the slide, the majority of the volume is comprised of human mobility and habitation. Over the long term, in this end market, we anticipate a mid-single to high single-digit growth rate. With core competency of space suits, inflatable habitats, lighter and air vehicles and other inflatables, we believe that there is an opportunity for pull-through on our core technologies and a future growth opportunity.
 For example, oxygen generation is needed across all these products. And we're currently a market leader in compression technology for portable oxygen concentrators. And this is just one example to provide some additional perspective on how we see the pull-through of our technologies where today we're not present.
 As we move to Slide 7, let me spend some time talking about the alignment of ILC Dover against our stated strategic importance for M&A. First, we start with an example of adjacent technologies. Within the life science end market, we have always targeted the consumable portion of bioprocessing, which focuses on single-use technology, including powder containment, liquid management, tubing and components, isolator protectors and many others. With ILC Dover, we get exactly that, a very clear adjacent market in which we can combine our pumps to build consumables and offer a more complete product portfolio to our customers.
 An example of this is combining our peristaltic pump technology with the newly launched ILC Dover tubing technology to deliver liquids to single-use devices which are also made by ILC Dover. This is merely one example of how we can help support customers across multiple steps within their biopharma workload.
 Moving into the aligned category. First, we're getting mission-critical equipment like flexible isolators for biopharma manufacturing. Isolators made by ILC Dover are best-in-class, single-use and an essential step in the manufacturing process of therapies requiring high potency APIs, one of which it is antibody drug conjugates, or ADCs, which is a fast-growing class of biopharmaceutical drugs designed to target and treat cancer.
 Second, the medical components/CDMO business enabled us to enter a highly fragmented high-growth segment of med tech and biomanufacturing. As mentioned on the previous slide, we believe that there is a significant opportunity for pull-through on our existing pumps and compression technology and also access to new customers and a direct channel of communication with them. 
 Finally, ILC Dover has given us the optionality to access the fast-growing market of aerospace and defense, with ILC Dover's deep relationship with NASA, Boeing and Sierra Space, to just name a few, we believe that we can leverage these relationships for pull-through opportunities on many of Ingersoll Rand's existing flow creation technologies. The acquisition of ILC Dover now provides us a larger platform to continue to build our life sciences business through bolt-on M&A and optionality with the fast-growing market of aerospace and defense.
 Moving to Slide 8. Let me touch base on our organic initiatives. Total organic orders in the first quarter were down 7%, due primarily to a large project order timing. As we have discussed before, large loan cycle projects usually driven by mega project investments tend to be lumpy in nature. And this can create a dynamic of tough comparisons in a single quarter. We believe that we're getting an outsized share of these projects, and we continue to be focused on book-to-bill. In Q1, as expected, we saw book-to-bill greater than 1%, building backlog, which was up 2% year-over-year.
 Moving to the chart on the left side of the page, we're encouraged by both the organic order acceleration through Q1 and the increased marketing qualified leads or MQL activity in the second half of the quarter. On the left-hand side of the page, we illustrate the sequential orders we saw throughout the quarter. February saw 5% sequential order growth as compared to January and March organic orders were up 18% sequentially versus February. 
 Consistently with our initial guidance, book-to-bill was above 1 at 1.02x in the quarter, continue to build backlog in support of our organic growth targets. As we had mentioned on our last earnings call, Q1 2024 had some very tough comps due to large and long cycle project order timing. For a 2-year stack, organic orders remain positive.
 Moving now to the right hand side of the page, we illustrate our MQL activity acceleration throughout the first quarter of this year. In Q1 2024, MQLs finished up 4% year-over-year and this is on top of 9% growth in Q1 of the prior year. 
 We remain encouraged by sequential momentum in MQLs throughout the quarter, where we saw an 11% increase in MQLs during the second half of the quarter as compared to the first half of the quarter. We do acknowledge that market conditions are constantly changing, and we remain nimble and prepared to pivot with those changing market conditions. 
 I will now turn the presentation over to Vik to provide an update on our Q1 financial performance. 
Vikram Kini: Thanks, Vicente. On Slide 9, despite the ongoing macroeconomic uncertainty, we delivered solid results in Q1 through a balance of commercial and operational execution fueled by IRX. Total company organic orders and revenue declined 7% and 1% year-over-year, respectively. Both organic orders and revenue finished largely in line with expectations given the tough comps from the prior year. However, we did see approximately $15 million of revenue shift out of Q1 and into Q2 due primarily to customer site readiness. An additional headwind of approximately 1% due to FX as compared to our initial guidance.
 The year-over-year decline in organic orders was primarily driven by the timing of large long-cycle orders. It's important to note that on a 2-year stack, total company organic orders and revenue grew 1% and 20% year-over-year, respectively. 
 We remain encouraged by the strength of our backlog, which was up approximately 2% year-over-year as well as our book-to-bill for the quarter, which was 1.02x. This provides us with a healthy backlog to execute on for the balance of the year and gives us conviction in delivering our full year 2024 revenue guidance.
 The company delivered first quarter adjusted EBITDA of $459 million, a 15% year-over-year improvement and adjusted EBITDA margin of 27.5%, a 290 basis point year-over-year improvement. Adjusted earnings per share was $0.78 for the quarter, which is up 20% as compared to the prior year. Free cash flow for the quarter was $99 million, and total liquidity was $3.5 billion, with $1.5 billion of cash on hand at quarter end. Our net leverage was 0.7 turns, which is 0.4 turns better than the prior year. 
 Turning to Slide 10. For the total company on an FX-adjusted basis, Q1 orders declined 4% and revenue declined 3%. Total company adjusted EBITDA increased 15% from the prior year. The ITS segment margin increased 370 basis points while the PST segment margin increased 50 basis points year-over-year. Overall, Ingersoll Rand expanded adjusted EBITDA margin by 290 basis points. 
 The improvement in adjusted EBITDA was driven by 390 basis points of gross margin expansion, largely driven by our continued execution of I2V initiatives and pricing. Partially offsetting this gross margin expansion were investments in SG&A centered around commercial footprint and R&D initiatives. 
 Corporate costs came in at $44 million for the quarter. And finally, adjusted EPS for the quarter was up 20% year-over-year to $0.78 per share, and the adjusted tax rate for the quarter was 21.3%. 
 On the next slide, I'd like to take a minute to highlight the $1 billion increase to our share repurchase program. This repurchase authorization is incremental to the remaining amount on the existing $750 million authorization and is currently expected to start being executed against in the first quarter of 2025. Much like the prior authorization, we would expect to utilize the new $1 billion share repurchase authorization over a 3-year time period. Our capital allocation strategy remains unchanged and share repurchases are an important part of that strategy. 
 M&A remains our top priority for our capital allocation, and we continue to expect M&A to be our primary use of cash as we look ahead. Free cash flow for the quarter was $99 million, including CapEx, which totaled $62 million. 
 The year-over-year decline in free cash flow of $49 million was driven primarily by two factors. First, approximately $40 million of CapEx timing. As outlined in our guidance, our expected CapEx spend remains unchanged at approximately 2% of revenue for the full year. 
 And second, approximately $20 million of interest payment timing. Due to the bond issuance completed in August of 2023, interest payments on those bonds are now made twice per year as compared to our prior structure which was generally paid evenly over the course of the year. This will normalize as we move throughout the year. 
 Total company liquidity now stands at $3.5 billion based on approximately $1.5 billion of cash and $2 billion of availability on our revolving credit facility. Leverage for the quarter was 0.7 turns, which was a 0.4 turn improvement year-over-year. 
 And specifically, within the quarter, cash outflows included $143 million deployed to M&A as well as $81 million returned to shareholders, of which $73 million of the share repurchases and $8 million for our dividend payment. 
 I will now turn the call back to Vicente to discuss our segments. 
Vicente Reynal: Thanks, Vik. On Slide 12, our Industrial Technologies and Service segment delivered solid year-over-year revenue growth of 4% on top of outsized growth in Q1 of last year. Adjusted EBITDA margins were approximately 30%, up 370 basis points from the prior year. Book-to-bill was 1.02x with organic orders down approximately 7%.
 Moving to the product highlights, compressors were down high single digits, primarily driven by large long-cycle project order timing, primarily in the renewable natural gas in the U.S. and EV battery and solar projects in China. Excluding these items, organic orders in compressors were approximately flat year-over-year. 
 Important to note that on a 2-year stack compressor orders are up low double digits and revenue is up mid-30s. Industrial vacuum and blower orders were up high single digits and revenue was up mid-teens. On a 2-year stack, vacuum and blower orders were up mid-single digits and revenues up low 40s.
 For innovation in action, we're highlighting Elmo Rietschle's new vacuum pump technology, which was recently launched in EMEA. This patented oil free technology ensures no air contamination or waste which is ideal for high-growth sustainable end markets like food and beverage, pharma and medical. This product also offers an almost 50% reduction in energy consumption compared to equivalent liquid ring technology, enabling productivity for customer and also reducing total cost of ownership.
 Turning to Slide 13. The PST team delivered adjusted EBITDA of $91 million with a margin of 30.8%. Organic orders in the PST segment were down approximately 5% year-over-year. The decline in orders was driven primarily by softness in life sciences and expected declines in China wastewater end markets. It is important to note and encouraging that life science business saw more than 15% increase sequentially in order momentum in Q1 2024 as compared to Q4 of 2023.
 In addition, short cycle orders in the PST segment remained strong with book and ship orders up high single digits sequentially. We see organic order growth stabilizing, and we remain positive about the underlying health of the PST business. Overall, the PST segment remains on track to meet our long-term Investor Day growth commitments. 
 For PST innovation in action, we're highlighting a great recurring revenue opportunity with Aircom. Aircom is a range of comprehensive end-to-end IIoT solutions that seamlessly integrate into existing infrastructure that enable monitoring, controlling and optimization of operations. In this slide, we show one application of Aircom system to monitor and control gas pressure on the distribution grid that can help utility companies reduced emissions by up to 10%. We see these as a great opportunity for recurring revenue through subscription-based software and services.
 As we move to Slide 14, given the solid performance in Q1, we're raising our 2024 guidance. Total company revenue is expected to grow overall between 4% to 6%, and which is down 100 basis points versus prior initial guidance, driven entirely by FX. 
 We anticipate positive organic growth of 2% to 4%, consistent with prior guidance where price and volume remains split at approximately 70-30. FX is now expected to be relatively flat for the full year, which is a 100 basis point headwind as compared to our initial guide. 
 M&A is projected at approximately $170 million, which reflects all completed and closed M&A transactions as of May 1 of 2024. ILC Dover is not included in the figures and is expected to close later in the quarter.
 Corporate costs are planned at $170 million and will be incurred relatively evenly per quarter for the balance of the year. The increase versus initial guidance is driven by investments for growth in demand generation activities, as well as investments IR digital and other IT-related investments.
 Total adjusted EBITDA for the company is expected to be in the range of $1.94 billion and $2 billion, which is up approximately 11% year-over-year at the midpoint. At the bottom of the table, adjusted EPS is projected to be within the range of $3.20 and $3.30, which is up 2% versus prior guidance and approximately 10% year-over-year at the midpoint. 
 On the bottom right-hand side of the page, we have included the 2024 full year guidance bridge showing the changes in our latest guidance as compared to our initial guidance provided in February. As you can see, the primary driver of EPS growth is associated with operational activity related to improved incrementals and operational performance. 
 As I mentioned earlier, FX is the largest headwind, driving approximately 100 basis points of total revenue declines and a $0.04 of EPS headwinds. Total interest expense is now expected to be approximately $130 million and will be incurred relatively evenly per quarter for the balance of the year. No changes have been made to our guidance on the full year adjusted tax rate. CapEx spend as a percentage of revenue, free cash flow to adjusted net income conversion or share count, all remain in line with initial guidance.
 Turning to Slide 15. As we wrap up today's call, I want to reiterate that Ingersoll Rand remains in a very strong position. We continue to deliver record results and our updated guidance is reflective of our Q1 performance and ongoing momentum. Our M&A funnel remains strong and with acquisitions announced and closed to date, we're poised for a record year of annualized inorganic growth. We remain nimble and we're prepared to pivot with the constantly changing market conditions.
 To employees, I want to thank you one more time for an excellent start to the year. These results show the impact each of you have as owners of the company. Thank you for your hard work, resiliency and focused actions. We believe the power of IRX combined with our ownership mindset and leading portfolio strengthens the durability of our company while delivering long-term value to shareholders. 
 With that, I will turn the call back to the operator to open the call for Q&A. 
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question today comes from the line of Mike Halloran from Baird. 
Michael Halloran: So simplistically, what's changed from a trend line perspective? If I listen to your comments, it feels like things really haven't changed that much organically from a trend perspective. So maybe talk about any areas where you're seeing maybe a little better trends or the worst trend, some sort of inflection? And also maybe talk to what you think the orders look like on a full year basis and how those might track through the year? 
Vicente Reynal: Yes, Mike, I'll say that the only real change has been the increased funnel activity since we last reported or spoke publicly. Despite the headwinds we saw in Q1 from large projects on a year-over-year basis, the very encouraging sign is that the funnel activity for large projects on a global perspective, as we look forward, is still quite healthy. 
 And what we saw, it was definitely a very increased activity and improvement in China in particular as well as other places in -- across EMEA that are related to kind of large mega project investments that are mostly in region for the region. So we view, again, the messaging very consistent versus what we said in February, and that is kind of quite encouraging. 
Michael Halloran: And then the order expectations as you think about the year? 
Vicente Reynal: Yes. Sequential orders... 
Vikram Kini: Yes, maybe I'll jump in there, Mike. I think -- in terms of the order activity here, first and foremost, we did see book-to-bill above 1 for the first quarter, about 1.02x, which is very much in line, I think, with how we intended for the year to start. And as a reminder, we typically are above 1 for the first half of the year and below 1 in the second half, largely due to normal seasonality as well as the shipment of -- for long-cycle projects. 
 I think as we move into Q2, I think that the Q2 comps, particularly on a year-over-year basis, are still, I'd say, a touch challenging, and I think they normalize a bit more as we move into the back half of the year. So again, very consistent, I think, with how we saw things coming into the year. And I think by and large, Q1 played itself out largely as we expected. 
Michael Halloran: And then maybe talk to the sequential trends you're expecting for the year from an earnings perspective and a cadencing. Anything different from normal seasonality as well as the 1Q margins in the compressor segment, ITS, is that the right run rate? I mean, it's a pretty healthy first quarter margin. So I just want to make sure that's the right base to build off? 
Vikram Kini: Yes, sure. Let me maybe start with that latter point there. Let's start with the margins. So I think maybe in the context of the total company, I think the full year guide implies slightly more than 100 basis points of year-over-year margin expansion. And it's worth noting that's actually ahead of our Investor Day targets that we communicated late last year, which was about 75 basis points. 
 So we're actually quite pleased with the continued momentum we're seeing. And yes, as you indicated here, clearly, ITS probably is the leader of the pack in that respect. But what I would say here is Q1, our expectation certainly will be our highest margin expansion on a quarterly basis for the year, and we expect the levels of margin expansion to kind of moderate as we move into the latter half of the year. Now that being said, Mike, I think we would say, we continue to be really operationally focused, QFD focused, and we'll continue to try and drive outperformance where possible. 
 To the first part of your question in terms of I'd say the phasing and the seasonality, nothing I'd point to that's dramatically different than what you've seen in prior years, whether you want to look at it from an earnings perspective, first half versus second half as well as what I spoke to earlier on the book-to-bill cadence. So again, I'd say relatively consistent with what you've seen, but we're very encouraged with the strong start to the year we saw in Q1. 
Operator: Your next question comes from the line of Julian Mitchell from Barclays. 
Julian Mitchell: So maybe just without going down the rabbit hole of sort of monthly orders and so on, I guess maybe help us understand in the second quarter it sounds like orders are down again year-on-year firm-wide. Just wanted to make sure that's the case, and sort of when you see those returning to growth again on a firm-wide basis. 
 And then on the revenue line, is the point that revenues are up sequentially sort of low mid-single digits in Q2, like normal? You have the tailwind of the $50 million push out that maybe the top line environment is also soggier now than it was a few months ago. 
Vicente Reynal: As a reminder, we don't really guide on orders, but just to provide a little bit of color here on Q2, I mean, April orders really finished relatively in line with the expectations. Generally, the same trend as what we saw in Q1, meaning China is the most noted headwind, again, based on that year-over-year comparison, due to the outgrowth that we saw Q1 and Q2 in China. 
 And EMEA and America is performing comparatively much better, clearly. Q2 comps are still a bit of a challenge from a year-over-year perspective. But that being said, we do believe that Q2 organic order growth will definitely perform better than Q1. And we do expect Q2 organic orders to be up sequentially as compared to Q1.
 So our confidence level here is based on the fact that we continue to see momentum on MQL activity. And as we explained also that kind of intra-quarter sequential momentum that we saw in the first quarter, which is relatively much higher than what we have seen historically that kind of continue to build the confidence that things are kind of losing up and freeing up as we continue to see better visibility from -- on a customer perspective. 
Vikram Kini: Yes. And then, I mean, I'll take the revenue side of that question, Julian. So I think to answer your first part, yes, we do expect to see Q2 revenue performance sequentially trend upwards from Q1. So I think that's a completely fair statement. 
 I think specifically with regards to Q2, and maybe I'll focus my commentary a little bit more year-over-year here. We do expect to see Q2 up, what I'll say, low single digit on an organic revenue growth perspective, with continued year-over-year EBITDA margin expansion. 
 And then I think as far as kind of the other kind of moving components, not dramatically different than, frankly, what you saw in Q1, meaning M&A contribution comparable to what you saw in Q1, FX, I mean a slight headwind on a year-over-year basis. And we would obviously expect to see that organic growth be roughly speaking, maybe 2/3 to 1/3 price to volume split. 
 So again, I think relatively consistent with the same messaging you've seen before. But yes, we do expect to see continued good momentum into Q2. 
Julian Mitchell: That's helpful. And then just my quick follow-up on the second quarter. So if the revenue is sort of up sequentially, the margins may be down sequentially. Is that the point? I mean, often, you have revenue up sequentially second quarter and then sequential operating leverage with it and EPS up sequentially. 
 But if you're saying that EPS can be up sequentially, it puts the first half at 50% of the year's earnings, which I think is abnormal seasonality, but I think you're saying seasonality is normal this year. So just maybe help us understand on that second quarter EBITDA and EPS. 
Vikram Kini: Yes. And Julian, maybe I'll keep it at relatively high level. But I think the way we would think about it here is, obviously, Q1, really strong performance, particularly on the margin side of the equation, over 27% EBITDA margin profile. 
 I think the way we should think about it here is we do expect revenue and EBITDA dollars to grow sequentially. We would expect EBITDA margins to continue to be healthy. It's probably worth noting when you think about that in the translation down to EPS, we did benefit a little bit in the first quarter from a tax rate perspective, which we do expect to normalize a little bit. 
 So that will create a little bit of some of that sequential noise from Q1 to Q2, but again, nothing that we'd point to from an operational perspective. We continue to expect good healthy flow-through, good margins. And yes, we do -- just to be very clear, we do expect to see sequential improvement on the revenue and the EBITDA dollar side of the equation. 
Operator: Your next question comes from the line of Jeff Sprague from Vertical Research Partners. 
Jeffrey Sprague: Maybe could we just unpack actually the Q1 margins in ITS a little bit more, the stuff that you mentioned, I2V, and price cost and everything. But Obviously, a very impressive performance in the quarter. So I'd like to get a little more color there on what happened. And just on the change in incrementals, Vik, I assume the FX change helps that number a little bit, maybe speak to is there any change in kind of the underlying expectation for incrementals for the year? 
Vicente Reynal: Jeff, on the ITS, yes, I mean, we're very pleased with the performance. And you saw -- you heard the commentary that solid gross margin expansion, and that's basically kind of what we saw also on the ITS side, I mean, phenomenal gross margin expansion. 
 And driven by a lot of the initiatives that we have been talking about over the past few years, call it these I2V, the innovative value activities as well as some of the restructuring that we also did in the fourth quarter that we saw also benefiting here early on in Q1. So again, it speaks pretty highly in terms of what the team continues to do to control what we can control. 
 And the fact that we're -- what is very exciting and very pleasing is to see clearly getting to that 30%, but even more so at this kind of still fairly highly inflationary market situation. So meaning that as we eventually over time continue to see deflationary, that continues to also help expand our margin even further. So that is very -- we were very pleased that with -- I mean, no surprise, but also excited to see that continued performance on that. 
Vikram Kini: Yes. And then Jeff, to the second part of your question on the incrementals. The way I would probably think about it is just, frankly, a continuation of what Vicente spoke to. 
 When you think about the biggest drivers that Vicente spoke to, whether it be the I2V, the direct material kind of productivity initiatives, frankly, really solid price cost flow through where as we messaged coming into the year, we expected inflationary headwinds kind of move sideways. That's frankly what we saw, and we saw good price realization in the first quarter. There's really no expectation that should be dramatically different for the balance of the year. 
 And then the restructuring actions, which just to even provide a little bit more color, we took some targeted restructuring actions at the tail end of last year. You actually saw, we also did some in Q1 of this year. So again, that's all leading to that kind of incremental that we would expect for the full year, which is getting now closer to that 50%. 
Jeffrey Sprague: And then I think coming out of this quarter, right, those of us who haven't dialed in ILC yet will -- just any -- assuming kind of a mid, late quarter close, should we expect some EPS benefit in 2024? Or are there kind of integration and other costs that would kind of negate that? 
Vikram Kini: Yes, Jeff, let me take that one. So yes, to your point, just to be very clear, obviously, our guidance does not include ILC Dover as the deal has not closed. To Vicente's kind of earlier comments, we do expect to close later in the quarter. So again, we would expect nominal if any impact in Q2. As far as the balance of the year, which I'm really now focusing on the second half, we would expect to see some nominal EPS impact. 
 But again, as we get through the quarter and frankly, as we give our next earnings where we expect that the deal will close later this quarter, we'll give you a little bit more color for the back half of the year as we kind of get to deal closure. But again, I'd say nominal EPS impact as we sit here right now for the back half of the year. 
Operator: Your next question comes from the line of Rob Wertheimer from Melius Research. 
Robert Wertheimer: I guess I'd like to take it a little bit more towards the strategic end. And thinking about what ILC Dover opens up for you, which you kind of talked about in the prepared remarks on acquisition, on runway and on deals. 
 And more specifically, is that kind of a landmark deal where you can tuck in other things at valuations that look either more like your traditional or in between the two? What does the pipeline build look like? How are you thinking about the timeline and so forth? 
 And if I may, just one last one. Does that sort of satisfy the larger, I don't know, at a second half leg of the stool kind of things in the backlog? Or is there potentially more out there? 
Vicente Reynal: Yes, Rob, we feel definitely that the acquisition of ILC Dover, we have now a very strong life science platform to build around. It's not only on the biopharma, but also on this kind of CDMO medical component technology that you even saw that we actually closed already on another acquisition, Controlled Fluidics, even in the quarter, and that's going to get added to that team. 
 So that is just one example on how we expect to take a similar approach of tuck-ins that you have seen us do in the past, and particularly around life science platforms. We -- the exciting piece here too as well is that ILC Dover comes in with a phenomenal team and with deep experience and that already has a very strong funnel for bolt-ons and tuck-ins. 
 So again, putting our M&A engine into action is going to be very good for us and pretty fruitful. So the pipeline is very strong, not only on things that we had, but also on things that now the ILC Dover is bringing to the table.
 In terms of your question about the larger acquisitions, I mean, I still see that we'd like to say we still have a couple of these kind of handful, one or two very large or larger above $1 billion purchase price that we keep track outside of this funnel that we talk about all the time, the funnel is really more on the bolt-on and tuck-ins. But yes, we still have a couple of those above $1 billion purchase price that we have at play. 
Operator: Your next question comes from the line of Joe Ritchie from Goldman Sachs. 
Joseph Ritchie: Can we just start on the growth in the quarter? It was a touch lighter than we expected. Maybe this is just a follow on to like Mike's question from earlier. But was there anything in the quarter that either shifted out or just potentially surprised you, was a little bit softer than you expected, maybe which is all on PST? Just any comments around that would be helpful. 
Vicente Reynal: Joe, if you remember in the Q4 earnings call, we talked about being flattish organic revenue, and we feel that the results came in kind of roughly in line with that. And when you think about the difference between the Q1 results and the implied Q1 organic guidance, essentially, the change was basically largely attributed to the couple of revenue orders that Vik mentioned on the call that got pushed out into Q2, roughly $15 million of orders are basically attributable mostly to customers, and it was just basically site readiness, nothing to be worried about. 
Joseph Ritchie: Okay. All right. That's great to hear. And then I guess you've been talking about the life sciences business for a while now and the softness in that business. It was interesting to see that you've seen this sequential order improvement in 1Q. Are you starting to kind of see green shoots in that business? Should -- are you feeling better about the growth trajectory of that business throughout the rest of the year? 
Vicente Reynal: We are, Joe, and particularly not only all the sequential improvement, but also the conversations that we're having with customers and even also including some of the biotech funding that we're starting to see here kind of coming through as well. So yes, I mean, I think it's one that we're encouraged to see not only from the numbers that we just posted, but also from the conversations that we're having with customers about new applications and new technologies. So yes, very encouraging. 
Operator: Your next question comes from the line of Andy Kaplowitz from Citigroup. 
Andrew Kaplowitz: You mentioned large project order timing was a big reason why organic orders were down in Q1. But how would you characterize the large project order environment in '24? Do you have visibility that you'll see another large project bookings quarter like you had in that Q1 '23 at some point soon. So is it truly a timing issue? Or is it more difficult market for large projects to get over the finish line? 
Vicente Reynal: No, I think we definitely categorize it more as really timing. And we do because as we mentioned on the prepared remarks, I mean, these renewable natural gas saw a lot of acceleration early in '23. And it has not stopped, but I mean it's basically a very, very fast start and then kind of tapering down. Still, we're seeing renewable natural gas growth or good orders. It's just that comparable to what we saw back in Q1, it was just difficult to overcome.
 And same thing with the electric vehicle investments that happened in China. Again, very strong investments happening in terms of expansion in the first half of last year. And do we see electric vehicle continue? Yes, we see it, but not at the pace of what we saw there. 
 Now having said that, I think what -- the remark that we made on the -- or one of the answers that I made before, funnel activity is really strong. I mean, so I think that's what is very, very encouraging to us is that and it is not on those same projects. It's kind of now new type of megaprojects that we're seeing, whether petrochem expansions or things of that nature that are kind of encouraging that we're seeing. 
Andrew Kaplowitz: That does sound encouraging. So Vicente, just following up on your geography comments specifically on China. I think last quarter, you suggested the China team was pretty energized. It looks like APAC orders still had enough tough year-over-year comp. But does China turn here as you go over into the second half in terms of orders? Like any sort of more characterization would be helpful. 
Vicente Reynal: Yes. I think the team is still very energized and very encouraged about what they're seeing, clearly tough comps. But even in the tough comp environment, when you look at -- and we've done a lot of kind of work with the team to better understand the kind of core business. 
 The core business still is pretty solid and seeing some good momentum. It was just basically one of those where, again, difficult comps based on some of the expansion that we saw rapidly happening in China in the first half of last year, particularly on electric vehicle and battery production and solar energy. 
 But again, we're encouraged with what we're seeing here. As a matter of fact, I mean, next week, I'm actually in Southeast Asia with the team to look at some of the growth initiatives that we have across Vietnam, Indonesia and Singapore. And I'm super energized to just be with the team there next week. 
Operator: Your next question comes from the line of Nigel Coe from Wolfe Research. 
Nigel Coe: Just wanted to perhaps come on the back of Andy's question. I think you mentioned as well, Vicente, Europe where you're seeing sort of a pipeline of larger orders, kind of rather larger projects developing. And it sounds like it's more sort of reshoring into Europe. So I'd be curious if that's the case, whether you think this could be something we see happening pretty quickly? Or is this more sort of '25, '26? And any sort of color on some of the sectors where you see that activity. 
Vicente Reynal: It's definitely a little bit of reshoring. And even I was actually talking to a very large chip manufacturing company earlier this week. And it is also about the "Chips Act" put in Europe. I mean so there's also some investments of that happening, whether you think about it in the U.K. So there's some of that. 
 There's some of -- going back to the energy crisis, there were some projects that get scoped around nuclear facilities and upgrading, things like that, whether in France or in other locations, and that takes time. But we're seeing that better approvals coming through. So perhaps that is another bucket area that we're seeing some good excitement there where we have a very unique application with our blower technology that is already expecting.
 And the third area that we like is Middle East. I mean we're seeing a lot of good investments happening in the Middle East. Our team in Middle East and India are seeing the fruits of that. And even also India and particularly that as we have said in the past, doubling down on some of the investments in India are paying off based on the results that the team is driving. 
Nigel Coe: Okay. That's great. And then ILC Dover, the 25% that's space and defense, I think the question we were asking ourselves was how strategic is this business. And it sounds like it's very strategic. And it feels like you could actually -- it sounds like you want to be a space player, I mean, for want of a better word. So is that the case? Do you think that it's not just life sciences. yes, this is also an A&D play as well? 
Vicente Reynal: Yes, I mean, I think that's what we call a very highly opportunistic in the sense that -- I mean, we're learning a lot. But even before owning this space business, we were looking at already some compression technology and pump technology that is actually used in space. And even our sales internally within PST, we have a company called Haskel, and Haskel is already a big player providing compression technology for SpaceX as an example. 
 So we were already kind of playing on the peripheries. I think this is now giving us a deeper penetration with some very strong customer base like NASA, Boeing and Sierra Space. And we're learning a ton. So at this point in time, yes, I mean, we're very excited with what we see here, and we'll continue to progress our learnings. But yes, I mean, the funnel for bolt-ons is there. We have it. 
Operator: Your next question comes from the line of Joe O'Dea from Wells Fargo. 
Joseph O'Dea: Can you just expand on the MQL trends during the quarter, the degree to which that surprised you? Not sure if it was primarily China and Europe that drove that increase over the course of the quarter, if there was anything in North America, but just any additional color on what you attribute that to. 
Vicente Reynal: Yes, Joe, I would say that the reason why we wanted to kind of share the data points with everyone is because of not only on the MQL but also the intra-quarter momentum that we saw that we also put on that page, it was just much more accelerated than what we had historically have seen in the first quarter. 
 And I would say that the MQL fairly balanced across all the regions, delivered in all -- particularly one of the regions that we saw good acceleration was around EMEA. But call it, EMEA as well as Americas, I mean, very, very strong on that. And -- but yes, I mean, I think it's just fairly good across all the regions. 
Joseph O'Dea: And that continues in April? 
Vicente Reynal: Yes. I mean April MQL activity was actually strong, 14% year-over-year growth on top of 5% growth in 2023. So again, it shows that the good solid momentum. I mean I think 14% is very good. And I would say also April, MQLs were also up 9% sequentially from March. 
Joseph O'Dea: Okay. Very helpful. And then another one on ILC Dover. And I think the legacy of that business is aerospace and defense and that the life sciences is a relatively newer kind of addition to it. But could you just expand on what they did to build that out and now a $300 million business? And so what happened over the last several years to sort of put that together? 
Vicente Reynal: Yes, absolutely, Joe. So you're absolutely right. I mean, I think the legacy here comes in from the space. And you remember that we mentioned that Dover is the one that put the man on the moon basically with their spacesuit and leveraging a lot of that kind of layering technology to really expand into inflatable habitats and things like that. 
 So very, very specialized material technology that basically requires multiple layers. I mean, call it nine different layers in order to create containment, in this case, containment of humans. So they did is that they took a lot of these kind of layering technology and material technology and knowledge and know-how to then move into the biopharma. 
 And in the biopharma, it's basically about the containment of powders and liquids. And that's why they have the single-use powder and liquid containments. And then from there, they took it to then however they continue to expand and then they acquire basically a CDMO, Flexan, the Flexan business. 
 And they acquired it particularly because of the technology, specialized technology around silicon molding and extrusion, again, all thinking about containment. And in this case, leveraging that very niche silicon production to create tubing for containment of liquids and move the liquids in biopharma production. 
 So yes, I think the team was very strategic in terms of taking the core of the knowledge of the technology around material and material later in for containment to then go into other diversifying very high-growth end markets. And I think that's just the beginning, I think, in our view. 
Joseph O'Dea: So is that more an organic than inorganic, building of that $300 million? 
Vicente Reynal: For them, it was basically a good blend of both. I mean they have to acquire some companies, but then once they acquire, they continue that organic momentum. 
Operator: [Operator Instructions] Your next question comes from the line of Nathan Jones from Stifel. 
Nathan Jones: I'm going to pick up on ILC Dover as well. On the original acquisition call and again today, you guys have been highlighting revenue synergy opportunities with the current portfolio. Can you just talk a little bit more about that, are the products that you have today directly transferable, does there need to be some investment in development? And then just talk about what you think the market size for that potential revenue synergy is? 
Vicente Reynal: The products are definitely transferable. This is basically taking pump technology that today we have in the industrial space like peristaltic technology and taking that and then penetrating that into the biopharma market. 
 I think what we get from ILC Dover is basically they have a phenomenal commercial footprint. So they go direct to a lot of these customer base. So we get immediate access from that perspective. 
 I think the other thing that we get here is the access of new customer base. So if you look at that CDMO, very, very solid med technology customer end base that today, we're not doing a lot of work. Now what ILC Dover has in these facilities is very large clean room facilities. 
 A lot of our customers that are in the medical space have been asking us to create sub-assembly. In many cases, so take the pump and connector to and create a sub-assembly that is much easier for the customer to be able to put it on to the end device. For many of these applications, we needed a clean room. We don't have clean room facilities. So in many cases, we have to pass on that. 
 Now we have that access. We have that access of the clean room facilities as well as the ISO procedures and standards from a quality management system perspective to be able to penetrate these customer base that has a high level of requirement because of being the customer base being FDA regulated. 
 So I think that's clearly the exciting piece here is that we get not only the use of our products and penetrate that through that customer base but we also get access to new customer base that we never had access before. 
 I mean in terms of the size, the potential revenue synergies, I mean, we haven't disclosed that yet, Nathan. And -- but we did say that with the acquisition of ILC Dover, we're expanding our addressable market by like $10 billion. So it's basically the potential is there. 
Nathan Jones: Still figuring out the revenue synergies, I'm sure. Just one clarification or something I don't know on MQLs, which maybe I should know is what's the average duration for you guys for getting an MQL to an order? I'm just trying to figure out how far in advance is that a leading indicator of potential improvement in demand? 
Vicente Reynal: For us is anywhere -- it's averaging between 6 to 8 weeks. 
Operator: That concludes our question-and-answer session. I will now turn the call back over to Vicente Reynal for some final closing remarks. 
Vicente Reynal: Thank you. I just want to say thank you for the interest in Ingersoll Rand, and most important, thank you again to the entire team of Ingersoll Rand for another solid quarter performance and note that everyone is focused here on continuing to make life better for the employees, the customers, the planet and the shareholders. 
 And we move forward to closing ILC Dover later here in the quarter, and we can tell you that our integration plan is going well, and we look forward to formally welcoming that team to our family. 
 With that, we close the call. Thank you again. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.